Operator: Ladies and gentlemen, thank you for standing by. Welcome to this morning's Belden reports third quarter 2025 results call. Just a reminder, this call is being recorded. [Operator Instructions] I would now like to turn the call over to Aaron Reddington, Vice President of Investor Relations. Please go ahead, sir.
Aaron Reddington: Good morning, everyone, and thank you for joining us for Belden's third quarter 2025 earnings conference call. With me today are Belden's President and CEO, Ashish Chand; and Senior Vice President and CFO, Jeremy Parks. Ashish will provide a strategic overview of our business, and then Jeremy will provide a detailed review of our financial and operating results followed by Q&A. We issued our earnings release earlier this morning and have prepared a slide presentation that we will reference on this call. The press release, presentation and transcript of these prepared remarks are currently available online at investor.belden.com. Turning to Slide 2. I'd like to remind everyone that today's call will include forward-looking statements, which are subject to risks and uncertainties as detailed in our press release and most recent Form 10-K. We will also reference certain non-GAAP financial measures. Reconciliations to the most directly comparable GAAP measures can be found in the appendix to our presentation and on our website. I will now turn the call over to our President and CEO, Ashish Chand.
Ashish Chand: Thank you, Aaron, and good morning, everyone. We appreciate you joining us. Let's begin with Slide 4, which highlights our key accomplishments and messages for the third quarter. My comments today will reference adjusted results. First, I want to recognize the dedicated efforts of our team. Their focus enabled us to deliver another solid quarter, building on our steady momentum. We executed well, delivering record results that surpassed our expectations. For the third quarter, both revenue and earnings per share came in above the high end of our guidance, reaching new quarterly records for Belden. This achievement underscores the ongoing progress of our solutions transformation, which continues to expand across the organization. Revenue reached $698 million, up 7% year-over-year, and adjusted earnings per share grew to $1.97. We delivered continued organic growth with overall organic revenue up 4% for the quarter. Positive contributions came from key markets, including Germany and China, confirming the favorable turn we experienced earlier this year in these major automation markets. This trend was further validated in our Automation Solutions segment, which demonstrated particular strength, achieving 10% organic revenue growth driven by broad momentum, including double-digit gains in discrete manufacturing. Order activity remained healthy for the quarter with orders up 7% year-over-year. We ended the quarter with a book-to-bill ratio of 1.0 compared to 0.99 in the prior year period, positioning us well as we look ahead. Despite headwinds from tariff and copper pass-throughs, our margins for the period performed well. We achieved healthy adjusted gross margins of 38.2%, up 40 basis points year-over-year, reflecting continued strength in our solutions offering even with the impact of these pass-throughs. Our business continues to generate healthy cash flow with trailing 12-month free cash flow at $214 million. We maintained our disciplined capital deployment, repurchasing approximately 400,000 shares in the third quarter for $50 million, bringing our year-to-date total to 1.4 million shares for $150 million. Overall, this was a quarter of solid execution, and I'm pleased with our record performance. The progress we are making with our solutions transformation is clear in our results, and we are well positioned to build on this momentum going forward. Now please turn to Slide 5. I'd like to highlight another key win this quarter that demonstrates the power of our solution strategy and our ability to drive digital transformation in critical infrastructure. We recently secured a $14 million multiyear solutions award with a leading utility provider to modernize their communications infrastructure, a key element of their operational technology platform. This project involves replacing aging legacy systems with a future-ready network to support mission-critical applications. The challenge for this utility was to transition from outdated systems to a modern packet-based network that could meet stringent demands for reliability, security and low latency, essential for grid resiliency and efficiency. Leveraging a deep vertical market knowledge and solutions approach, our team collaborated with the customer, culminating in a successful on-site Proof of Concept. This POC effectively showcased Belden's advanced technologies and service capabilities, validating our proposed solution. Our XTran platform was selected as the core of this modernization effort. Purpose-built for utility networks, XTran delivers connectivity to large complex networks that include new and legacy systems and protocols. This hybrid capability is crucial for easing migration and future-proofing critical network infrastructure. This win underscores Belden's deep expertise in utility networks and our proven capability to deliver secure, resilient OD communication systems. Our end-to-end delivery model, including products, services and support ensures seamless implementation and solution delivery. This project is a clear testament to how our solutions-driven approach combined with our specialized portfolio and deep market understanding allows us to capture opportunities in vital sectors. We are establishing a repeatable model for similar large-scale modernization projects within the utility market, further solidifying our position as a trusted partner in critical infrastructure. We are confident in the momentum this creates and the long-term value we provide for our customers. Now please turn to Slide 6. I'd like to shift our focus to an area where Belden is making strategic advancements, positioning us well for the next wave of industrial innovation, Physical AI. Earlier this week, we announced a collaboration with Accenture and NVIDIA. This partnership combines our industrial networking expertise with their advanced AI capabilities to deliver integrated Physical AI solutions. We've already secured commercial traction with an initial pilot program and are scheduled for commercial deployment later this year. This pilot, a virtual safety fence solution designed to improve worker safety in manufacturing environments was successfully tested and is now being commercially deployed at a major U.S. manufacturer. This test and commercial deployment demonstrate the real-world impact and market readiness of our Physical AI solutions as modern manufacturing increasingly integrates autonomous systems alongside human operators. Let's take a moment and consider the broader opportunity in this emerging space. First, Physical AI represents an evolution in automation where AI directly interacts with the physical world. It enables intelligent automation and real-time decision-making, offering massive opportunities to improve safety, efficiency and further digitize industrial environments. Belden is uniquely positioned to play a foundational role in the emerging world of Physical AI. Advanced applications demand an industrial-grade network capable of real-time synchronized precision. Our time-sensitive networking capabilities are crucial enabling microsecond precision for data streams essential in environments where safety and quality are critical. This strategic push underscores Belden's successful evolution into a solutions company within the industrial market. It serves as clear proof that we are moving beyond simply providing connectivity products to enabling advanced solutions that drive significant value for our customers. Given our strengths in intelligent edge deployment in converging IT/OT environments, we believe that Belden is well positioned to be a key enabler of Physical AI in manufacturing and material handling, driving safer, smarter and more productive environments globally. Physical AI represents an emerging growth opportunity for our business as we continue to advance ideas and technologies. I will now request Jeremy to provide additional insight into our third quarter financial performance.
Jeremy Parks: Thank you, Ashish. My comments today will cover our third quarter results, a review of our segments, the balance sheet and cash flow and finally, our outlook. As a reminder, I will be referencing adjusted results today. Now please turn to Slide 7. As Ashish noted, our solid execution this quarter drove consistent top line growth, which translated directly to margin expansion and improved profitability. Revenue for the quarter was $698 million, up 7% year-over-year and ahead of expectations set forth in prior guidance. Revenue was up 4% organically on a year-over-year basis. Our Automation Solutions segment saw organic revenue growth of 10%, while Smart Infrastructure Solutions organic revenue was down 1%. Orders for the quarter were up 7% year-over-year. As a result, gross profit margins were 38.2%, increasing 40 basis points compared to the prior year. EBITDA was $118 million with EBITDA margins at 17%, down 20 basis points year-over-year. We successfully maintained our overall profitability for the quarter through proactive management of tariff and copper price changes, leveraging strategic sourcing and effective pricing actions. Our margin percentages for the period reflect the necessary pass-through of these costs. Going forward, you can expect us to deliver incremental margins in line with our long-term targets. Net income was $79 million, up from $71 million in the prior year quarter, and EPS was $1.97, up 16% and ahead of expectations set forth in prior guidance. Now please turn to Slide 8 for a review of our business segment results for the quarter. Our Automation Solutions segment delivered another solid quarter, demonstrating continued recovery and steady execution. Revenue grew 14% year-over-year with EBITDA up 10%. Margins remained healthy at 20.8%, impacted by the pass-through of tariffs and copper. Order trends also remained robust with orders up 14% year-over-year. This strong order activity drove the segment's 10% organic growth with positive contributions across all regions. As Ashish highlighted, we saw continued strength in Germany and China with ample year-over-year growth, albeit from a lower base. This broad-based momentum extended into our core verticals, which saw double-digit expansion in discrete manufacturing and mass transit. Revenue in Smart Infrastructure Solutions was down 1% year-over-year with margins for the segment steady at 12.6%. Within our markets, smart buildings was up 3% year-over-year, driven by strength in our key growth verticals as we continue to advance our solutions offerings. Broadband Solutions was down 4% year-over-year, but up 7% sequentially. While technology upgrades in the broadband space have seen some temporary moderation in the back half of 2025, we are encouraged by the adoption of new fiber products and also to see the early BEAD awards as many of the top recipients are major customers for Belden. Next, please turn to Slide 9 for our balance sheet and cash flow highlights. Our balance sheet remains a source of significant strength and flexibility, enabling our disciplined capital allocation strategy. Our cash and cash equivalents balance at the end of the third quarter was $314 million compared to $370 million in the fourth quarter of 2024. Our cash position reflects typical seasonality and the deployment of $150 million towards share repurchases so far this year. Our financial leverage was a reasonable 2.1x net debt to EBITDA, consistent with our expectations. We intend to maintain net leverage of approximately 1.5x over the long term. However, this may fluctuate as we pursue strategic opportunities consistent with our capital allocation priorities. For the trailing 12 months, our free cash flow was $214 million. Year-to-date, we repurchased 1.4 million shares, further reducing our share count, which is now more than 12% lower than it was at the end of 2021. We currently have $190 million remaining on our repurchase authorization. Our capital allocation priorities remain unchanged, investing internally in opportunities to advance organic growth, pursuing disciplined M&A and returning capital to shareholders through buybacks. While the current financial market environment is dynamic, we continue to evaluate M&A opportunities with rigor and remain committed to deploying capital in ways that create long-term value. As a reminder, our next debt maturity is not until 2027, and all of our debt is fixed with rates averaging 3.5%. Please turn to Slide 10 for our fourth quarter outlook. Our team has executed well in the current environment, as shown in our record third quarter results. We are encouraged by the strong and consistent trends in our Automation Solutions segment, which provides a solid foundation for our outlook. In the fourth quarter, we anticipate that sequential growth from Automation Solutions will be mostly offset by a more muted quarter in Smart Infrastructure Solutions, resulting in overall performance that is roughly flat sequentially. Assuming the continuation of current market conditions, revenues for the fourth quarter are expected to be between $690 million and $700 million, representing a 4% to 5% increase over the prior year quarter. Adjusted EPS is expected to be between $1.90 and $2, representing a 1% decrease to 4% increase over the prior year quarter. For the fourth quarter, we are projecting a tax rate of 14% as we continue to execute our planning strategies. That concludes my prepared remarks. I would now like to turn the call back to Ashish.
Ashish Chand: Thank you, Jeremy. Now please turn to Slide 11. To summarize, our third quarter performance reflects the strength and resilience of our business and the continued progress of our solutions transformation. We delivered solid results in a dynamic environment with consistent order activity, record earnings and healthy cash generation. It is important to reflect on the journey that has brought us to this point. Over the past few years, our industry has faced significant headwinds, including periods of destocking, ongoing tariff challenges and a muted manufacturing environment. Despite these external pressures, our team's dedication and strategic focus have allowed Belden to not only navigate these periods, but to emerge stronger. This resiliency is clearly demonstrated in our current performance. Not only did we achieve record quarterly revenue and EPS, but our trailing 12-month performance also reached new highs. We are proud to report trailing 12-month revenue reaching nearly $2.7 billion and record trailing 12-month adjusted EPS of $7.38. This exceptional performance, especially in a year that presented its share of challenges, truly underscores our team's focused execution and the inherent resilience of our business model. Looking at our long-term trajectory, these results are no accident. From 2019 through the trailing 12 months ending in the third quarter, we delivered a revenue CAGR of 5% and an adjusted EPS CAGR of 12%. This powerful and consistent value creation over multiple years clearly demonstrates the impact of our strategic initiatives and how our solutions transformation has repositioned Belden in the minds of our customers. Further, our transformation is validated in the marketplace as evidenced by the multiyear utility modernization project we discussed earlier, where we are replacing aging infrastructure with a future-ready network. It's also clearly evident in our strategic advancements in Physical AI, where we are enabling safer, smarter factories and other work environments with real-time precision. These are tangible examples of us moving beyond just products to enabling advanced solutions that drive significant value for customers. We remain mindful of the ongoing operating environment. However, the fundamental trends driving our business, reindustrialization, automation, digitization and the convergence of IT and OT are intact and building momentum. We believe Belden is well positioned to benefit as these secular trends play out. Our solutions transformation is delivering tangible results, expanding our addressable market and positioning us for consistent growth and margin expansion. We remain committed to disciplined execution and thoughtful capital allocation, ensuring we create lasting value for our shareholders. That concludes our prepared remarks. Operator, please open the call for questions.
Operator: [Operator Instructions] We'll move to our first question from Steven Fox with Fox Advisors.
Steven Fox: I guess for my first question, obviously, the utility market is a massive opportunity in general. And so, I'm wondering how we think about how you attack it? Like what's the go-to-market strategy? And then how quickly you can sort of penetrate different parts of it? And then I had a follow-up.
Ashish Chand: Sure, Steve. So, across the market in power transmission and distribution because that's the specific area that we want to focus on within the broader utility market. We have a fairly mixed landscape. So, we have networks that are still using SONET SDH systems for their telecoms. And as a result, they can only transmit a certain kind of data, which is very limited. They can't -- for example, the networks don't lend themselves to smart grid type bidirectional transmission. So the first fundamental opportunity really is to upgrade all of these to a packet-based what we call MPLS-TP, packet-based IP-based network. That is where the core XTran offering that we have, which is engineered over many decades in Belgium. This is an acquisition we made about 5 years ago. But the way we differentiate ourselves in that market, apart from just offering that core MPLS-TP switching portfolio is really through the whole services and support process, right? So the win we talked about today really hinged on us being able to go in with our consultants at the outset and do a very deep study across their network, come up with very tangible savings for them or productivity opportunities for them in terms of things that would impact their P&L. For example, reducing the time it takes to find a fault, which therefore reduces any SLA-based fines they have to pay or it could be simply making the equipment procurement process more efficient through more predictability. So, there are multiple use cases. But basically, with that approach, we were able to give them not just the packet switching backbone, but a fully integrated design. And we -- these professional services include by the way, multiyear software training and management. They include helping them with future expansion as their networks grow. So that's how we are attacking that market. And in terms of scale, Steve, I think at this point, especially if I focus on the U.S. and Western Europe, where there is a huge demand, especially given the surge in data centers. I think we are currently penetrating maybe 7% to 10% of the market. So, the scale opportunity is pretty big. And I think that's reflected in our growth rates in PT&D, which have tended to be double digit.
Steven Fox: Great. That's helpful. And I'm pretty sure from looking at your picture on Slide 5, the New Jersey grid doesn't look like that, but that's my problem. Anyway, the second question, Jeremy, I was just curious, there's a lot of puts and takes in terms of like outside forces on the margins and then the mix. Can you just be a little more specific thinking about year-over-year and quarter-over-quarter, how much -- I just want to make sure I understand the pass-through impact on margins versus the more solutions? And then any other things we should be thinking about relative to like copper and sourcing and things like that?
Jeremy Parks: Yes. Sure, Steve. So, if you look at gross margins on a year-over-year basis, the change in copper prices impacted margins by about 50 basis points, and it's literally just the pass-through of higher copper. So maintaining EPS and EBITDA covering that fully, but a little bit of margin degradation. So that's 50 basis points year-over-year. There is an impact from tariffs. It would be maybe slightly less than the copper impact. And then maybe a little bit of mix on a year-over-year basis, but nothing substantial. If you bridge sequentially from Q2 to Q3, the copper impact is not as extensive. I would say probably the pass-through impact from both copper and tariffs together are maybe 30 or 40 basis points. And then there's also a little bit of unfavorable mix sequentially, just driven by strength in our industrial construction cable that seems to be coming back, partially because of some of these energy applications.
Operator: We'll move to our next question from William Stein with Truist Securities.
William Stein: Ashish, you talked about Physical AI today. That was pretty exciting for us. I'm hoping if you can extend that conversation to what was posted by, I think, one of your customers or perhaps customers, customers, NVIDIA posted something about your involvement in a gray space application and data center. So I'm hoping you can update on us -- update on that topic, maybe combined with the Physical AI to sort of size your position in those opportunities today and maybe give us a view as to what we should expect in the future?
Ashish Chand: Yes. Well, I think this is a very exciting topic. So I'm going to start -- bear with me, I'm going to start with a little bit of basic information and then build it up. So, as we think about AI for the last 3 to 4 years, the first 2/3 of that journey has been more around Chatbots really. And then over the last, let's say, 1 year or so, we are now seeing the whole phenomenon around agents. But a lot of those agents still exist in the digital world, right, inside a data center. Now those agents are emerging into the physical world, and they need a fair amount of orchestration. And those agents could take the form of robots, humanoids, different kinds of equipment, AGVs, et cetera, et cetera. So really, the idea that in workplaces, whether they are manufacturing workplaces or other workplaces, you might have employees that are human and employees that are actually agents working together. You might even have agents and agents working together, right? So that's the kind of future workplace scenario. So, the announcement we -- you, I think, are referring to was actually made as a combination of NVIDIA, Accenture and Belden. And there was a different announcement, I think, about the gray space, which is also relevant, but let me focus on the first one. So, we announced the successful completion of a pilot and we are on the cusp of commercializing this with a very large automotive customer in the U.S., but this was essentially a virtual safety fence application. And it leveraged a few things from each of us. So from Belden at the core, it was the time-sensitive networking portfolio. And I just want to differentiate time-sensitive networking, which is very prevalent in the high-end mission-critical spaces like industrial manufacturing or process is different to the conventional best effort networking, which is more relevant in enterprise spaces, right? So, we used our time-sensitive networks. We use Belden Horizon as the orchestration platform. Accenture built an application on top of Horizon that took that data into the NVIDIA Omniverse and used their libraries to build this entire autonomous system for virtual safety. And I think there were some interesting highlights. So first of all, we did not have any data going to the cloud for safety. Everything was on the site on the edge so that it was very low latency. Now the data stream itself was raw video from a camera versus thousands of sensors on the floor, right? So, it was a camera feed. In fact, it was 3 cameras. So, there was kind of triangulation and spatial depth created in that process. And just from the feed of 3 cameras, this autonomous system was able to analyze and review that data and really as a human being, act as a traffic cop for safety. And I think the third thing this did was it basically removed any ambiguity that network is actually the fourth critical technology to make this digital transformation successful. The other 3 being AI, data engineering and cloud. And although in this case, we didn't send any data to the cloud, obviously, over time, models have to be trained on the cloud. And so data will go to the cloud, but it will be selective data. Now in terms of scaling, there are different studies available. There's one that says -- that's pretty prominent that says that in about -- by 2030, so let's say, in 5 years, the number of physical devices that need network connections will reach close to 1 trillion IoT connections. So 4 to 5x of what we have today. And all of these will need some kind of edge compute capability because all the data will not go to the cloud. And I can easily see another aspect here that, that data will be multimodal. It will be vision, sound, vibration, temperature, pressure, et cetera. Remember, now we have agents in the physical world who are dealing with these kinds of data streams, right, different kind of variety and volume of data versus simple digital data in the data center. And the applications that we are currently exploring or actually piloting include quality inspection, passenger safety, asset location and these go across a few different vertical markets. So sorry, we'll give you a long-ish answer because I want to start with the fundamentals, but the core finding for us here is that without time-sensitive networking and without an orchestration platform like Belden Horizon, it is very difficult to make that edge and IT/OT convergence convert into Physical AI. And I think that's what we've successfully proven here. We are being obviously modest in terms of where all this can go, but really, there is no limit.
William Stein: And anything on the white space project that was also highlighted that was one that's more, I think, not necessarily cloud, but certainly data center related.
Ashish Chand: Yes. So, we have been building out a data center practice that combines the technologies from both what you think of as previously industrial or automation portfolio and the smart infrastructure portfolio. And we've been fairly successful. I think we spoke about this on our last call, we had a large win with an AI hyperscaler in the cooling space. And then since then, we've had more success deploying these converged IT/OT solutions into a combination of white space and gray space. And our data center growth this quarter is up double digits because of that initiative. Again, our focus, frankly, is less on building the data center capacity itself, but it's more on the long-term sustainable use of applications that come out of the data center. But obviously, right now, there is a big phenomenon around building capacity. And I think there's a big concern around the heating electrification aspects, which allow us to step in with these technologies will that we previously used on the automation and industrial side. So that's the win we -- one of our customers highlighted. And again, we appreciate working with Accenture and their customers because we are finding a lot of convergence here given their -- so the commonality of our installed base and their customer base is turning out to be very scalable for us.
Operator: We'll take our next question from Mark Delaney with Goldman Sachs.
Mark Delaney: First on broadband, I was hoping you could share more with respect to your outlook over the near and medium term for the broadband segment and how helpful the BEAD awards that the company cited in its prepared remarks may be for growth?
Ashish Chand: So I'll make a couple -- thanks, Mark. I'll make a couple of comments and then maybe Jeremy can add to that. So, in general, if you think about the upgrades that the MSOs have been working on for the last few years, different customers have different technology stacks that they use to deliver those DOCSIS upgrades to consumers. And based on those different technology stacks and there's different electronic components, interoperability, et cetera, we sometimes see a little more -- there are some ups and downs in that process. And we've seen a little bit of that moderation in the back half of '25. I think it's basically timing. But on the other hand, there's a lot more clarity in the market since the BEAD announcements came. In fact, our accounts -- the accounts we serve in the MSO market are big beneficiaries of BEAD. We've also seen a lot more adoption of new fiber technology from Belden across these accounts. So on a net basis, I think the -- we are very positive about that space other than some technical interoperability based slowdown that we have seen in the short term.
Jeremy Parks: Yes. Just in terms of the Q4 guide, Mark, broadband, you should expect broadband to be down year-over-year in the fourth quarter, roughly the same as what we did in the third quarter, so maybe down 1% or 2% sequentially, down roughly 4% on a year-over-year basis. Looking forward into 2026, we're not guiding at this point. So we'll probably have more of a perspective for you in 90 days. But I think at this point in time, we're optimistic, like Ashish said, about growth in 2026. Some of these upgrades still need to happen. MSOs still need to spend some money, I think, on their networks, and it feels like we're getting a little bit of certainty over the BEAD funding, which should be a helper. So, I think we're optimistic going into 2026. We just have to work through the fourth quarter here.
Mark Delaney: Very helpful. And kind of dovetails my other question was just some early thoughts on 2026, just qualitatively, and Jeremy, you just spoke a bit on broadband. But as you think about the business more generally, you spoke about bookings and orders being up 7%. And just based on some of the conversations you're having with customers, some of the drivers like what you just spoke about tied to automating factories and supporting some of the data center build-out. I mean, qualitatively, do you think that revenue next year has the potential to grow?
Jeremy Parks: Yes, absolutely. I think if you look at the automation business, the industrial markets, they continue to get a little bit better every quarter. PMIs are close to 50, almost everywhere, even Germany, which I think is positive. So for sure, we bottomed out in a lot of places, and we're seeing more and more strength on the industrial side of the business. And Ashish talked in great detail about some of the opportunities with respect to technology and Physical AI and some of those aspects. So I think we feel very positive about the automation business and industrial markets. With respect to Smart Buildings, we've got opportunities in data center, both in the white space and the gray space, and we're doing more and more with respect to these converged solutions that bring to bear both smart buildings and automation solutions products. And so, I think we feel pretty good about those markets as well. So, like I said, we'll have more to say in 90 days about our outlook for 2026 or at least first quarter 2026. But as we sit here today, I think we're optimistic.
Operator: [Operator Instructions] We'll take our next question from David Williams with Benchmark.
David Williams: Congratulations on the really solid quarter here. I guess maybe my first question, just want to talk a little bit about the reshoring trends that we've talked about in the past. And this quarter, it feels a lot different than we've had in the past in terms of just your cautious tone and maybe even your discussions around hesitancy of some of the customers. But just kind of curious if you could maybe share what you're seeing on the reshoring side and if your thoughts are still maybe the same as they've been in the past in terms of maybe we'll see some of that going into next year.
Jeremy Parks: Yes, Dave. I think one of the reasons we feel good about the automation business, we've talked about that multiple times on this call is that phenomenon of reshoring. So, we are having conversations right now with multiple customers who are looking to bring manufacturing back into the U.S. This includes pharmaceutical customers, consumer packaged goods, logistics, automotive process, semi. I mean, the list is fairly long. Without taking names, I can just tell you that this is pretty much a list of the top players in the industry. And we have seen already results from that in Q3. That's, I think, part of the reason why automotive has grown in 10% this quarter. Part of it is really the U.S. reshoring trend. Now what we do see here is that it's not necessarily a hasty build. People are planning very carefully a 3-to 5-year journey as they think about their facilities. And therefore, they're also asking us to plan with them on a 3-to 5-year basis, the whole network and data infrastructure, which I think plays well to Belden's strengths because it's not really driven by price, but it's driven more by total cost of ownership. So yes, very bullish on the reshoring trend, and we are seeing tangible results and numbers as we speak.
David Williams: Great. And then just maybe from the smart infrastructure side, as you kind of look out and see everything that's developed there, and you've been making some investments for some time. Just kind of think about how should we think 2026 should trend on the smart infrastructure side? And is there anything, I guess, that is more positive, more negative as you kind of enter the fourth quarter here?
Jeremy Parks: Yes. So first of all, we've seen within the buildings portion of that business, which we now -- as you know, Dave, we combine that go-to-market with our automation business, and we are going with this IT/OT converged offering. So we've seen -- we saw strength there, especially in our growth verticals, which were almost at 10%, right, which is kind of high for that business. And we see a lot of activity in -- obviously, in health care and data centers, we've talked about that. But we also see growth in areas like stadiums and hospitality and other such more KPI-focused networks versus the old plain vanilla commercial real estate. So our dependence on that portion has gone down and our focus on these other markets is really paying off right now. So I think as I look forward, obviously, we're not guiding '26 right now, but similar to what we said on the broadband space, we are optimistic about those verticals. We feel we have a differentiated offering because we are able to solve an integrated problem. So typically, when we go in for example, to a stadium, we talk about the whole thing, including the HVAC control, the packet substation, the network, the audio/video aspect, safety, drones, et cetera. So that really differentiates us from our competitors. So yes, I would kind of classify that as similar to automation in those markets, the same kind of positive feeling.
Operator: We'll move to our next question from Chris Dankert with Loop Capital Markets.
Christopher Dankert: I guess I've noticed the R&D investment has stepped up a bit. I assume is that to support this kind of edge compute and time-sensitive feedback network opportunity that's out there? Should we expect that R&D to kind of continue being up at an accelerated pace? Does it moderate into '23? Just any color you can provide around that investment?
Ashish Chand: Absolutely. So indeed, Chris, we've obviously been upgrading some of these critical elements of our portfolio, right, the time-sensitive networks. There's been work done on the XTran side with MPLS-TP. There are more edge devices being released. But a big part of the R&D investment has really been on the development of the Belden Horizon orchestration platform. So, the one thing that we were missing, if you go back 4 to 5 years, we had all these devices that were operating as kind of stand-alone islands of excellence, but we were not orchestrating the data for our customers in one place. And the effort required to build that orchestration platform, which is called Belden Horizon and to keep upgrading it, especially now as we build applications on it that can take raw data and analyze it without going to the cloud, that's required a fair amount of investment. Now I do expect, based on where we have reached, I do expect that rate of investment to slow down because I think we've reached some kind of a critical point here now in terms of capability. But I would think of the bulk of the increase in 2025 in R&D more around that software capability and of course, a little bit around the upgrade of hardware.
Christopher Dankert: Got it. That's really great color. And then you just touched a moment ago on the adjusted go-to-market. I guess any additional color you can give us there in terms of have you changed the sales structure to support that adjusted go-to-market? Are you thinking about kind of products versus solutions as almost 2 separate approaches to sales at this point? Maybe just any kind of color you can give us on how you're thinking about that changing paradigm.
Ashish Chand: Yes. I think there are 3 fundamental things here, Chris. The first is we've built a fairly comprehensive consulting organization, right? So if you go back again, 3, 4 years, we didn't have consultants working with customers directly. They were more internal consultants. But now we have, first of all, digital automation consultants who go in and talk about the entire workflow that the customer has and design a data flow to support that workflow that helps the customer get to their KPIs. And this is a good -- the example we shared today is a good illustration of that. Then we have in step 2 solutions consultants who go in and then help the customer create a solution to support that data flow that they've approved. After which we really have commercial sales get in and do the more conventional selling, negotiating, et cetera. And during this process, often, we have people asking for validation in our CIC, right? So, we can prove that data flow will get them to the KPIs they need. In some cases, it's savings. In some cases, it's more capacity, more productivity, more safety, whatever that P&L item is. So first of all, that sales process is far more expanded with this consulting front end. We didn't have that previously. Second, we are going to market now for solutions with a whole ITOT converged approach, and we are saying you have multiple use cases and applications that can exist on the same backbone -- so why don't we design a comprehensive backbone that is future-proof and allows you to keep adding more use cases as you go. And by the way, some of those use cases will at some point become autonomous use cases. Not everybody is ready for that yet, but I think they all want to be -- they want to see that come up in the future. And then, yes, the third thing is we do have a solutions-oriented sales organization, which is where most of our investments are going in, but we are still maintaining -- we have a healthy aftermarket and product revenue also. So we are still maintaining a product-oriented sales team. Now these teams report into the same senior management, so they are well orchestrated. But yes, so there are these 3 changes, the more consulting-driven front end, the converged IT/OD or industrial plus enterprise approach and yes, a specialist solutions sales force. And it's worked out pretty well for us, and it's differentiated us dramatically in the market.
Operator: There are no further questions at this time. I'd like to turn the conference back over to Aaron for closing remarks.
Aaron Reddington: Thank you, Operator, and thank you, everyone, for joining today's call. If you have any questions, please contact the IR team here at Belden. Our e-mail address is investor.relations@belden.com.
Operator: Thank you, ladies and gentlemen. This concludes our call for today. You may now disconnect from the call and thank you for participating.